Operator: Good morning. My name is JL, and I will be your conference operator today. At this time, I would like to welcome everyone to the Entergy's Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions]. I will now turn the conference over to Liz Hunter, Vice President of Investor Relations for Entergy Corporation.
Liz Hunter: Good morning. Thank you, JL, and thanks to everyone for joining this morning. We will begin today with comments from Entergy's Chair and CEO, Drew Marsh; and then Kimberly Fontan, our CFO, will review results. In today's call, management will make certain forward-looking statements. Actual results could differ materially from these forward-looking statements due to a number of factors, which are set forth in our earnings release, our slide presentation and our SEC filings. Entergy does not assume any obligation to update these forward-looking statements. Management will also discuss non-GAAP financial information. Reconciliations to the applicable GAAP measures are included in today's press release and slide presentation, both of which can be found on the Investor Relations section of our website. And now I will turn the call over to Drew.
Andrew Marsh: Thank you, Liz, and good morning, everyone. The last couple of years have been transformational for Entergy. While 2024 reshaped our long-term expectations through historical new demand for power, 2025 was affirmational as our success has continued. Today, I'll highlight our 2025 achievements and discuss our ongoing efforts to successfully execute on our customer-first strategy that creates value for all stakeholders. Starting with the financial results. We are reporting 2025 adjusted earnings per share of $3.91, which is in the top half of our guidance range. We continue to expect greater than 8% adjusted EPS annual growth through 2029, and our transparent outlook provide specific expectations by year. Turning to the customer. Our initiatives to improve customer experience have yielded positive results. Based on J.D. Power data, Entergy's utility remains in first quartile for Net Promoter Score for both residential and business customers. Three jurisdictions were in the top quartile for residential NPS and Entergy Texas was ranked #1 in customer satisfaction for business electric service in the South among midsized utilities. Our work to meet our customers' needs while maintaining low rates is being recognized, and this will remain a key focus for us going forward. We had 4% sales growth in 2025, driven by a 7% increase in industrial sales, continuing a long history of strong growth rooted in the advantages of our service area. We anticipate the sales growth trend to accelerate an expected 8% compound annual growth rate through 2029 from 2025 and driven by 15% industrial growth. Last year, we signed electric service agreements totaling approximately 3.5 gigawatts. There were several noteworthy customer announcements, which give us confidence in our outlook for growth from data centers and traditional industrial segments. Customers achieved important development milestones, including those in the steel, petrochem and LNG sectors. In fact, with Hyundai Steel's $5.8 billion planned investment in Ascension Parish, Louisiana earned Business Facilities Platinum Deal of the Year, the first state to accomplish the feat 2 years in a row after the Meta AI data center project in 2024. We also had new data center announcements in Arkansas, Louisiana and Mississippi, including both colocation developers and hyperscalers. Entergy's service area remains attractive, starting with our low electricity rates and vertical integration, business-friendly environment, welcoming communities and proven workforce. Our geographic location provides access to diverse energy sources and robust infrastructure that are attractive to industrial customers. Our integrated stakeholder engagement is also an advantage as we bring parties together to discuss potential development solutions and a common understanding of benefits. We continue to have meaningful conversations with potential new customers to secure additional growth to benefit all of our stakeholders. And our pipeline is unchanged at 7 to 12 gigawatts for data centers and 3 to 5 gigawatts for other industries. We have clear line of sight on equipment to serve 8 gigawatts of incremental load above our current plan. We've also confirmed EPC engagement for projects in our outlooks and beyond. Entergy has distinguished itself with a long history of greater than 5% compound annual large industrial growth over the past 16 years. We know how to attract new business and serve new large low customers while delivering positive outcomes to all our stakeholders from operational execution to affordability. The economic development activity has paid off as all of our states achieved record employment milestones in 2025. From the beginning, our hyperscale electric service agreements were developed with guiding principles that account for both the new customers' goals and impacts for our existing customers and communities. For our residential customers, we estimate the data center contracts in place today will generate approximately $5 billion in rate offsets from their fair share of contributions to fixed costs during the life of the contracts. That equates to more than $5 per residential customer per month on average, and that has the potential to grow with additional data center contracts. Customers will also see improved reliability and resilience from new generation and transmission infrastructure built to the latest standards. In addition, new, more efficient power plants will lower fuel costs for all customers. Our operating companies have implemented programs such as Superpower Mississippi and Next Generation Arkansas made possible by data center revenues that will improve reliability and reduce outages for all customers in those jurisdictions. Our long-term data center contracts include early termination penalties and minimum bills to ensure that other customers aren't left to pay for investments needed as a result of adding large loads to the system. Plus, on their own, these customers will create real value for our communities, including benefits from jobs and increased tax base and economic development. These are just a few examples of how data center growth is enhancing Entergy's efforts to support customers and communities every day. Beyond data centers, our operating companies have implemented many other ways to help manage customer rates and benefit our communities. That starts with cost discipline, including an ongoing focus on O&M efficiency and scrubbing our capital projects to ensure the best outcomes for customers. Our teams work closely with regulators to manage bill levels and volatility, which includes use of tools like deferred fuel collections, state and federal grants, tax incentives, philanthropic support and securitization. Our operating companies also proactively engage customers to ensure they are aware of programs to help manage bills, including energy efficiency programs, LIHEAP funds for qualifying customers and our Power to Care program for low-income seniors. Currently, we are exploring new rate offerings such as demand response and time of use rates to complement our average bill and deferred payment options. This year, our employees delivered more than $100 million in economic benefits to the communities we serve through philanthropy, volunteerism and advocacy. That includes our employees volunteering for approximately 170,000 hours in our communities last year, the equivalent of roughly 81 full-time employees. Our employees are also focused on delivering benefits to customers from our 4-year capital plan. Because of our track record, we know what it takes to successfully execute large projects. With a $43 billion capital plan through 2029 to support customer needs, we have a sizable build cycle ahead. In 2025, we invested $8 billion to benefit customers with about half of that in generation. That includes significant work on Orange County Advanced Power Station, which is entering the final stages ahead of a summer in-service date and Delta Blues in Mississippi. Looking ahead, new generation is a big part of our customer-centric plan. We have several projects in early stages that will come online in the next few years, including Franklin Farms Units 1 and 2 and Waterford 5 in Louisiana, Legend and Lone Star in Texas, Ironwood in Arkansas and the Vicksburg Advanced Power Station and Trace View in Mississippi. We also have 5 owned and contracted solar resources approved or in progress totaling 740 megawatts. Including gas, solar and battery storage, we have nearly 9 gigawatts approved and under construction towards our planned 13 gigawatts of new capacity to serve and support customers over the next 4 years. In 2025, our nuclear fleet operated safely and reliably, achieving a 90% unit capability factor. All refueling outages, including major turbine and generator projects were completed on schedule. The team also delivered more than 35 megawatts, sorry, of additional clean capacity from plant upgrades and replacement of older equipment. Looking ahead, at Waterford 3, previous investments in low-pressure turbines have paved the way for a 45-megawatt upgrade later this year. Turning to energy delivery. We invested about $3.5 billion in 2025, which includes accelerated resilience projects to support customer growth and to improve reliability. Thus far, we have invested $800 million in approved accelerated resilience work, including 17 substation upgrades and 59 line hardening projects, upgrading more than 15,800 structures. In total, our 4-year $17 billion customer-led energy delivery capital plan includes new construction on more than 570 miles of 500 kV lines and 175 miles of other transmission lines as well as investment in new substations. This also includes $1.4 billion of approved projects to harden more than 45,000 assets. System resilience is a key area of focus, and we are planning to continue progress on delivering that value to customers. To that end, Entergy New Orleans filed an application for the second phase of its resilience program, requesting approval for up to $400 million in projects. While we have and will put forward recommendations for projects that have both resilience and cost benefit value for customers, we recognize it's important that we balance near-term affordability with the need to continue to strengthen our system. The topic of reliability is never more in focus for us and our customers than when faced with the storm. A couple of weeks ago, Winter Storm Fern affected our service area, particularly in North Louisiana and Mississippi. Throughout the event, we worked closely with state and local leaders to stay aligned on our restoration efforts. Our generation fleet operated well, providing critical energy to serve customers who could take power. At the same time, our distribution and transmission lines were impacted by significant ice accumulation well over an inch in some places. Fern disrupted 170,000 of our customers. But ultimately, we restored power for more than 360,000 cumulative outages because many customers were impacted multiple times due to ongoing tree damage from the heavy ice. Damage resembled a strong hurricane, but with more dangerous icy restoration conditions afterward. In fact, we replaced more poles, more miles of wire and repaired more substations than we did for Hurricanes Barrel or Francine in 2024. Our employees, contractors and mutual assistance workers performed very well in these dangerous and difficult conditions. I sincerely appreciate their hard work and dedication to safely and quickly bring power back to our affected customers. Legislative and regulatory processes support our ability to successfully execute initiatives to provide long-term benefits to our customers. In 2025, Arkansas passed the Generating Arkansas Jobs Act, which materially improves utilities' ability to make critical generation and transmission investments needed for economic development in the state. The act paved the way for assets like Jefferson Power Station and the Cypress Solar and Battery project. Meanwhile, Texas passed legislation enabling rider recovery of MISO capacity costs, which historically were recovered in base rates. A year ago, I said that our 2025 regulatory calendar would be busy, and it was. Our regulators made tremendous headway to benefit our communities and to advance customer growth. They approved routine updates to base rates and riders as well as major transmission projects and new generation, both modern gas and renewables. All of these projects will modernize our infrastructure, provide customer reliability benefits and support growth that's critical for our communities. Our regulators are considered -- also considered policy issues aimed to promote economic development. For example, the Louisiana Public Service Commission in December voted to adopt a policy proposal referred to as the Louisiana Lightning Initiative, which provides a path for utilities to efficiently meet the needs of large new loads. The rule allows for RFP exemptions and an expedited review in specified situations with all actions subject to prudence review. This policy will align with Louisiana's broader Lightning Speed initiative to better coordinate among critical state permitting offices, allow us to bring new customers online faster, which will attract new business to Louisiana. You may recall that Arkansas and Mississippi also adopted rules and processes to foster economic development and attract projects that have speed to market as a top priority. There are a few other regulatory updates since our last earnings call that I'd like to highlight. The Arkansas Public Service Commission approved the special rate contract for Google. They also approved construction of the Jefferson Power Station and established a benchmark against which to measure the cost. In December, Entergy Louisiana filed a request to acquire the Cottonwood facility with an upfront purchase price of $1.5 billion as well as $300 million of investment for maintenance and improvements. This is an attractive opportunity to acquire additional energy and capacity sooner and at a lower cost than a new build alternative as Louisiana continues to experience significant customer growth. We requested a decision from the LPSC by the end of this year to allow for an acquisition early next year. In November, Entergy Louisiana also filed a request for approval to construct the Segno and Votaw solar units. These projects were safe harbored earlier this year -- earlier last year and will be attractive resources to support customer clean energy demand. For our 2026 regulatory calendar, we're planning for another productive year. In addition to the projects I just mentioned, we have 4 major generation and transmission projects that are awaiting commission decisions in the year. Arkansas Cypress Solar with battery storage, the Babel to Webre 500 kV project and the Waterford 6 and Westlake combined cycles in Louisiana, which were filed yesterday. Later this month, Entergy Arkansas will file its first base rate case since 2015, following 10 years of formula rate plans. Our current expectation is to request a rate change of well below 3%, and it could be lower for residential customers, which will support our continued efforts to invest for the benefit of our customers while being mindful of affordability. Our goal is to receive a commission determination by the end of this year for rates effective at the beginning of 2027 and a renewed formula rate plan starting with the 2028 forward test year. The formula rate plan benefits our customers and other stakeholders through predictability and ease of implementation while supporting continuous regulatory oversight. In addition, we expect to implement the Generating Arkansas Jobs Act rider for the next few weeks, supporting economic development. And the combined total rate change for residential customers between the rider and the rate case is expected to be at or below recent FRP rate changes and also maintain Entergy Arkansas' competitive position with rates well below the national average. Mississippi, New Orleans and Louisiana will file their formula rate plans between now and May, and Entergy Texas expects to request updates to its transmission and distribution riders as needed. Entergy Texas also plans to utilize the generation rider after Orange County Power Station is placed in service, which will trigger a base rate case in 2027. 2025 was an affirmational year, building on our continuing transformation. I appreciate everything our employees have done to create value for our customers and as a result, all of our stakeholders. As we move into 2026, we will continue to put the customer first in everything that we do. Before I turn it over to Kimberly, I'm excited to announce that we will host an Investor Day on June 9 in New York City. We will continue the conversation on the significant opportunities that we see ahead, including 5-year outlooks as we've done in the past. And now Kimberly will review our 2025 financial results as well as our outlook.
Kimberly Fontan: Thank you, Drew. Good morning, everyone. As Drew said, 2025 was another important year in our growth journey. I'll review our 2025 results and then provide an overview of 2026 and our longer-term outlook. Starting with earnings, our adjusted EPS for the year was $3.91, as shown on Slide 4. Our results reflected strong sales growth and the effects of investments made for our customers. The increases were partially offset by higher other O&M and an increase in our share count from settling equity forwards. Earnings contribution from sales growth for the year was positive, including the effects of weather. Excluding weather, retail sales increased approximately 4%. Industrial sales were the largest contributor at around 7%, including sales for new and expansion projects that continue to ramp up their operations. The highlights of our 4-year plan are shown on Slide 5. Our retail sales outlook remains very strong. Off of 2025 weather-adjusted results, we expect 8% retail sales compound annual growth, driven by 15% industrial growth through 2029. Data centers are the primary driver, along with growth from a variety of traditional Gulf South industries, including transportation or LNG, primary metals, industrial gases, petrochemicals and agricultural chemicals. As a reminder, we take a conservative approach with hyperscale data centers. We only include them in our plan once we have an ESA in place, and we include them at the minimum build levels. Our customer-centric capital plan is now $43 billion, $2 billion higher than our preliminary plan presented at EEI. The increase includes the investment for the Cottonwood Generating Station that Drew mentioned. For 2026, our capital plan is $11.6 billion, approximately $3.6 billion higher than 2025, reflecting the step-up in investment to support our customer growth. The equity associated with our 4-year plan is unchanged at $4.4 billion at the lower end of our target range of 10% to 15% of the total capital plan. Our forecast also includes $1 billion of hybrids in the back half of the forecast. We have been proactive in addressing our equity needs, selling forward contracts through our ATM program as well as the block transaction we executed last March. We've taken significant price risk off the table, and we have ample time to raise capital. For our 2026 through 2029 equity need, about 45% is already contracted, meaning we wouldn't need to transact again until well into 2027. In February, after year-end, we settled an additional $345 million or about 4.6 million shares. We are using those funds to continue to invest for the benefit of our customers. Slide 6 summarizes our credit ratings and affirms that our credit metric outlooks remain better than rating agency thresholds. For 2025, we estimate that Moody's cash flow from operations free working capital to debt is greater than 17% and S&P's FFO to debt is approximately 16%, both well above the agency's thresholds. Moody's metric includes approximately $550 million for nuclear PTCs that were monetized in 2025. Without the PTCs, 2025's estimated Moody's metric is still well above our 15% target. Based on final MISO prices and strong nuclear production, we also recorded nuclear production tax credits in our 2025 results. We plan to monetize these credits in 2026 and estimate that the net proceeds will be approximately $215 million. Tax credits will ultimately provide benefits to customers. Beyond 2025, our credit metric outlooks are strong with FFO to debt above our thresholds throughout the outlook period, achieving our 15% target for Moody's metric during the period, giving us capacity to manage events in the business as they occur. As a reminder, because the value of nuclear PTCs is highly dependent on average revenue per megawatt hour, we do not include cash benefits in our cash flow or credit metric outlooks beyond 2026. Our financial health is bolstered by all the work we've done to strengthen our balance sheet and create benefits for customers, including structuring large customer ESAs to protect existing customers and our credits, improving our pension funded status and receiving constructive regulatory mechanisms. As Drew discussed, in late January, Winter Storm Fern impacted our service area. Our preliminary estimate for restoration cost is up to $300 million for Louisiana, up to $200 million for Mississippi and approximately $60 million for Arkansas, the majority of the cost being capital. Our current expectation is that these costs will be recovered through normal mechanisms. Our adjusted EPS guidance and outlook are shown on Slide 7. Throughout the outlook period, we continue to see very strong growth, driven by our customer-centric capital plan and our long-term compound annual growth remains strong at greater than 8%. Slide 8 provides additional detail behind our guidance assumptions. For 2026, we expect continued benefits from strong sales growth, especially as data centers increase their usage. Our guidance also includes the effects of investments made for customers, including regulatory actions and increases in depreciation, property taxes and financing costs. Share effect will also be a driver as our fully diluted average share count increases. Additional information on specific drivers for the year as well as detailed quarterly considerations are included in the appendix of our earnings call presentation. We have a very strong growth story that supports our plans to invest in reliability and resilience to better serve our customers. We have a solid base plan consistent with our strategic objectives and a strong customer pipeline, including 7 to 12 gigawatts of data center opportunities. And we have secured critical equipment to bring additional customers online. We're very proud of what we have accomplished, and we are working hard to make 2026 another successful year, continuing to prioritize the needs of our customers to create value for all of our key stakeholders. We have a very unique growth opportunity before us, and we're excited about what the future holds. And now the Entergy team is available to answer questions.
Operator: [Operator Instructions] Our first question comes from the line of Shar Pourreza of Wells Fargo.
Shahriar Pourreza: Just on the large load ramp, Hut 8 was the most recent announcement. Was Phase 1 of that project already partially in plan and with the formal FID, does that kind of put some upward pressure on rate base growth? Or is Phase 2 the upside? I guess maybe just help us frame if there are other probably weighted projects in '26 and '27 as well. It's two-part question.
Kimberly Fontan: Yes, sure. I would think about Hut 8 and similarly sized data centers like we think about our probability weighted industrial growth overall. So that would have been included in the probability weighting there. Certainly, we're seeing positive progress in that space. And so that increases that probability weighting, but it would not be a separate discrete item like a hyperscaler.
Andrew Marsh: And also, first part of what they have announced doesn't add to the capital plan, but -- and I'm not sure what you mean by Phase 1 and Phase 2, but additional incremental growth in that customer would likely require incremental capital for capacity.
Shahriar Pourreza: Got it. Yes, I guess there's going to be a second phase they've talked about that could be fairly material. Okay. And then Drew, I want to ask on the large load protections you have as you kind of put the CapEx into plan. I mean we've seen at least one data center walk away from a project despite having a signed ESA. Obviously, different state than yours, of course. Just remind us on the level of comfort, the collateral requirements, et cetera. You have some lumpy projects there, which can be sizable so that could move the needle should one of these customers walk. Just maybe overall, just on the ESA environment and the protections there.
Kimberly Fontan: Sure, Shar. On the overall large load customers, including not just the hyperscalers, but also colocators like a Hut 8, we have significant credit requirements that require things like termination fees, that sort of thing as well as minimum bills. And what we've included in our forecast is only the minimum bill. So certainly, there's -- to the extent that they run up to their full capacity, there's opportunity there. But to the extent that they choose to not run or not continue, there's the termination payments that protect us there as well. And those are backstopped all the way up at their parents.
Shahriar Pourreza: Okay. Got it. And then just maybe one quick one I'll squeeze in is, I know the prior update noted 4.5 gigs of power equipment associated with potential upside. Is any part of that spoken for at this point? Have you started to expand those expectations given continued large load expansions if Cottonwood potentially added to that number?
Kimberly Fontan: Yes, Shar. We have about 8 gigawatts of turbines and other plant island equipment available for growth. We haven't turned those into specific projects tied to ESAs at that point. But if you recall that turbine schedule that we showed you, those are all the great projects there. We continue to have really positive conversations with our customers and would expect to be able to continue to grow our portfolio. But certainly, we haven't -- we don't have anything specific here. That is lumpy, as you well know, but we have the opportunity to add incremental. I will note that Cottonwood that was added into the capital plan does not replace one of those turbines. That's existing capacity that provides additional space in Louisiana to continue to meet customer needs, but it doesn't replace any of those turbines.
Operator: Your next question comes from the line of Julien Dumoulin-Smith of Jefferies.
Paul Zimbardo: It's Paul Zimbardo on for Julien. The first, just a quick clarification. I think you said the CapEx change increase is Cottonwood. Are there other major changes going on? Or is it really just the Cottonwood being rolled in?
Kimberly Fontan: Paul, it's largely Cottonwood. There is a little bit of capital from '25 that rolled into '26. So the overall increase there is not fully incremental versus what we had in '25, but most of what's there is Cottonwood.
Paul Zimbardo: Okay. Okay. Great. That's my thought. And then you had that comment around the $5 per month of customer bill savings from the data centers that you've kind of secured to date. Are there good ways to think about it? I know it's difficult rules of thumbs or just ways to think about potential future savings from that data center pipeline for customers.
Kimberly Fontan: Yes. I would think about that as the data centers' contribution to embedded fixed cost. So there's not a good rule of thumb. It's going to depend on the size of the data center. But in general, what you're doing there is you're essentially -- you've got your embedded fixed cost that you're spreading over more kWh. So the size of their kWh is going to drive what that opportunity is. But there's not -- I don't have a good rule of thumb for you.
Andrew Marsh: Yes. And I would add to that, Paul, that we think that, that's conservative because there are other things that the customers are benefiting from. And I listed some of those in my remarks, like fuel efficiency and things like that, that are important contributions, more reliability, more resilience from the new infrastructure, not to mention all the community benefits like taxes and so forth. So there is a lot of value for customers, but we thought it would be important to label that fixed cost contribution part because it is significant.
Paul Zimbardo: Okay. That makes sense. And if I could squeeze in one more quick. Just on the -- after the Jefferson approval and the Texas generation approval, noting that Louisiana has that Lightning amendment, have you seen kind of customer preferences shifted between different states? Any color would be helpful there.
Andrew Marsh: No real change among states. The customers that we have in our states are continuing to invest where they are, and they are very comfortable with the rules where they are. But I think it will help attract incremental customers potentially. And so we've seen some support for that as well. But I don't think it's causing hull from one of our jurisdictions to another jurisdiction at this point.
Operator: Your next question comes from the line of Jeremy Tonet of JPMorgan.
Diana Niles: This is Diana Niles on the call for Jeremy. Going back to the customer benefits from data centers and the $5 billion in rate base offsets. Could you provide some color on what buckets this covers, whether that's transition required for new load or previously complicated resilience investments? Any color there would be appreciated.
Kimberly Fontan: As I said, I would think about that as contribution to incremental cost. So that is things like in Louisiana, they had storm costs that were already securitized the customers were paying for, they're paying a contribution to that. In Mississippi, we had announced Superpower Mississippi, where we added incremental capital with no increase in rates because the revenues coming in from the hyperscalers there were providing room to continue to invest in resilience and reliability. And then as you think about going forward, that incremental revenue is helping to offset future rate changes as you make investments over time. So it's those categories that I would think about.
Diana Niles: Great. And one more, if I may. The Cottonwood addition to the plan. Is it already contemplated in your outlook going forward? Or to what extent do we need to look at future approvals to think about the inclusion in the plan?
Kimberly Fontan: Yes. So Cottonwood is included. It's in our -- if we added it into our capital plan, it is pending regulatory approval. But from an EPS outlook perspective, it just moves us in the range, but it doesn't change our ranges.
Operator: Your next question comes from the line of David Arcaro of Morgan Stanley.
David Arcaro: I was wondering what updates should we expect at the Investor Day coming up in June? Is that a natural time when you might expect more data center contracting clarity to come in or capital projects to be approved and added to the plan? Any specific update that might be incremental in June?
Andrew Marsh: Yes. So I appreciate that question, David. So we never know exactly when a data center contract might land. But certainly, we're going to give you more color around the data centers and how we're positioning ourselves and things like that. We'll give you a little bit of a longer outlook and you typically have been going out 5 years from that period. And we'll try to get a couple more of our leaders in front of you so that you have a chance to talk to a little more depth in our team. So you have a chance to really understand perhaps the various jurisdictions and what those mean and what they're trying to do. So those are the kind of things that we would try to update you on to give you more comfort around the plan that we've laid out. And if we're fortunate, maybe we'll have something to announce. But the timing, you never know about the timing for a large customer contract.
David Arcaro: Yes. Got it. That makes sense. That's helpful. And then I'm just curious, what's -- more broadly, what's the latest feedback that you're getting from the political and regulatory standpoint related to data center activity? Are you seeing -- is it continued support here as you continue to accelerate? Or are you seeing increased pushback challenges locally to the activity that's popping up?
Andrew Marsh: Yes. Thank you there. That's another good question. So the -- we still continue to have strong support for the data centers in our jurisdictions. The Lightning Initiative that I mentioned in Louisiana is a good example of that. That was just the end of last year. And we continue to see strong support in other jurisdictions, not to mention a lot of customer interest and a lot of customer activity. So we see a lot of positive movement, and it continues to bode well for the expectations that we've laid out for you all. In fact, I think they probably strengthened since we talked to you last quite a bit. There still is some concern about things like affordability and rates. And I outlined a lot of the things that we are doing. In fact, the comments about customer -- existing customer benefits from the contribution of fixed costs and other things are, we think, really important to continue to maintain the positive momentum in our jurisdictions. But right now, we continue to see very positive momentum from both customers and communities about data centers.
Operator: [Operator Instructions] Your next question comes from the line of Andrew Weisel of Scotiabank.
Andrew Weisel: I hope you guys are getting ready for Mardi Gras. First question, I wanted to clarify a little bit the forecast for retail sales growth on Page 5. I see you increased the CAGRs, but the numbers in the bar chart went down. Am I right, that's just because you roll forward the starting point from '24 to '25. And I know you're not showing the forecast in absolute terms, but if my math is correct, I think your forecast for '28 to '29 went up by about 2 terawatt hours or 4% to 5%. And if so, is that driven by a small number of specific projects? Or would you call that broad-based growth?
Kimberly Fontan: Relative to the roll forward of the year and what you're seeing on the dimensions there on the chart. We can get you the specifics on '28 and '29 to confirm your terawatt number. But we have seen the step-up from '27, '28, '29 as these large customers continue to ramp, the ones that we've made significant announcements on. And then any adjustments to the probability weightings would also show up there.
Andrew Weisel: Okay. But does that sound about right? Are they going up by about 5%?
Kimberly Fontan: I think overall, I would look at the -- we looked at the 15% off of the '25 base. I don't have those other numbers right off the top of my head, but we can certainly double check them and circle back with you, Andrew.
Andrew Weisel: Okay. Fair enough. Directionally, it seems like it's certainly going up, though. Next question, regarding the Meta contracts, help me understand the pushback or confusion around contract terms. It seems like Meta structured these leases as a series of 4-year subcontracts under an entity owned by Blue Owl with the ability to exit or renew every 4 years. Yet you and the regulators are describing it all as a 15-year structure. And of course, the new gas plants will have a much longer useful life of a few decades. I certainly don't want to put words in anyone's mouth, but help us understand the 2 different perspectives and how to reconcile these 4-year terms versus the 15 years and how that may or may not create risk for investors or rate payers and why there seems to be...
Kimberly Fontan: Yes, I would think of as 2 separate transactions. So on the electric service agreement side, we have a 15-year term with a subsidiary of Meta backstopped all the way at the parent. That is the service agreement, and that has all the provisions that I mentioned earlier around termination fees and minimum bills and those sorts of things. On the -- separately, what Meta has pursued is a transaction with Blue Owl, where they are structuring the capital that they're spending on their side, that is where all of those terms that you're referencing are. And I don't have the details on all those terms, but they're separate and apart from the ESA that they have with us that backstop by their parent.
Andrew Weisel: Okay. So who's the ultimate guarantor on your ESA?
Kimberly Fontan: It is the parent. It is Meta all the way up.
Andrew Marsh: And I don't know if you heard earlier, but there's -- we were worried that there might be sirens in the background because of all the Mardi Gras floats that are getting escorted around town right now.
Operator: Your next question comes from the line of David Paz of Wolfe.
David Paz: Just with the 8 gigawatts of gas turbine availability, what level of flexibility do you have in the equipment delivery period? So just thinking about the chart from EEI, I think there were some, let's call them, open slots in the '28 to '30 period. Are those -- to the extent you don't have a new announcement, say, this year, for instance, how would you kind of fill those in? Would you just push those out a little? And just can you maybe better explain how to think about the cadence?
Andrew Marsh: David, this is Drew. So thanks for that question. First of all, we fully expect to utilize the turbines that we have ordered on the time line that we have them ordered. We have customers that would move them forward if they could. And we fully expect to utilize the turbines that we have. If for some reason, we don't have contractual arrangements, we don't have ESAs in place for customers when we need to make -- start making payments on these turbines, we're likely to get reimbursement agreements from customers. So that shouldn't be a problem for us financially. But we fully expect to meet the time line that those turbines are on. So that's -- I think that's where we are right now.
Operator: There are no further questions at this time. Liz, I will now turn the call back over to you. Liz?
Liz Hunter: Thank you, JL, and thanks to everyone for participating this morning. Our annual report on Form 10-K is due to the SEC on March 2 and provides more details and disclosures about our financial statements. Events that occur prior to the date of our 10-K filing that provide additional evidence of conditions that existed at the date of the balance sheet would be reflected in our financial statements in accordance with generally accepted accounting principles. Also, as a reminder, we maintain a web page as part of Entergy's Investor Relations website called Regulatory and Other Information, which provides key updates of regulatory proceedings and important milestones on our strategic execution. While some of this information may be considered material information, you should not rely exclusively on this page for all relevant company information. And this concludes our call. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect.